Operator: Good day and thank you for standing by. Welcome to the Avance Gas Holding Limited Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised, today's conference is being recorded. [Operator Instructions] I'd now like to hand the conference over to your speaker today. That's CEO, Kristian Sørensen. Please, go ahead. 
Kristian Sørensen: Thank you very much and hello, everyone, and welcome to the Avance Gas Q4 conference call, where we will present our latest market update together with our Q4 results. I'm here together, as usual, with our CFO, Randi Navdal. Next slide please, with our disclaimer. We can move on to the next slide with the highlights for the quarter. For the fourth quarter we had time charter earnings of $32.9 million, which equates to $27,631 a day and consequently $31,302 per day for the full calendar year. We had time charter coverage of approximately 40% in the fourth quarter, at an average of $31,000 a day, while we currently have a TC coverage at 38% of vessel days with three 2008-built vessels fixed at an average $30,000 a day and three vessels with floating hire structure. Looking at our financial results for the quarter, we had an EBITDA of $21.6 million, with a net profit of $7.5 million and earnings per share of $0.10. For the year 2021, Avance Gas has an EBITDA of $94.4 million, a net profit of $32.1 million and earnings per share of $0.44. In Q4, we successfully completed a sale leaseback transaction on the Irish Glory, which generated approximately $16.6 million in net cash proceeds. For the quarter, our Board has declared a dividend of $0.05 per share, corresponding to 50% of our net profits. Looking into the beginning of the New Year, we had a busy period on the asset side, where we last month took delivery of our first dual-fuel VLGC, the Avance Polaris. We have sold our 2018-built Thetis Glory and we will take delivery of our second newbuilding Avance Capella on Friday this week. This vessel is as previously announced, fixed to Petredec for a two-year period. Next slide, please. Since we have started to phase into newbuildings, we wanted to show you the improved earnings potential for the company, as the new vessels are delivered successively from 2022 to end of 2023. For simplicity reasons, we have assumed all non-scrubber vessels including the newbuildings, burning VLSFO and trading in a market environment like we have today. As illustrated, the earnings will be significantly improved, as our fleet is being renewed this and next year. And at the same time, the vessels will contribute significantly to reduce Avance Gas' CO2 emissions. And then, Randi will take you through the details of the financial highlights for the quarter.
Randi Navdal Bekkelund: Thank you, Kristian, and good afternoon from Oslo. Moving to slide six, I will walk you through the financial highlights and results for the fourth quarter and full year 2021. Our commercial results for the fourth quarter were quite similar to the past two quarters and in line with our guidance in November. We recorded a time charter equivalent earnings of $32.9 million or a daily TCE of $27,631 slightly up from $31.6 million or a daily TCE per day of $27,548 in previous quarter. TCE earnings for the full year, was $143 million or a TCE per day of $31,302 and was more or less in line with last year 2020, recording a TC earnings of $144.1 million corresponding to a daily TCE of $32,418. Our operating expenses came in at $9.7 million for the quarter, equaling a daily average of $8,131 -- 39 sorry. This compares to $8,610 a day in previous quarter. The operating expense for the fourth quarter was impacted by COVID-19 crew change expenses of approximately $500 a day and is expected to come down in 2020 as the vaccine is rolled out to our seafarers. Operating expenses were $42 million for the full year down from $45 million in 2020, driven by lower operating expense per calendar day combined with one ship left in the fleet as the 2003-built VLGC Avance was sold in September 2020. Administrative and general expense also known as the A&G for the quarter was $1.6 million down from $1.9 million in Q3, representing an average A&G per calendar day of $1,351 for the quarter and is expected to be maintained at $1.6 million on a quarterly basis into next year. For the full year 2021 the administrative and general expense were $6.5 million, up from $3.9 million in 2020 due to increase in number of headcounts combined with nonrecurring personnel expense. And based on this we reported an EBITDA of $21.6 million for the fourth quarter up from $19.5 million previous quarter. For the full year, we recognized an EBITDA of $94.4 million in line with last year of $95.1 million. Depreciation expense, were $11.4 million for the quarter and is a normalized depreciation going forward. For the full year, depreciation expense was $47.2 million up from $41.7 million in previous year, driven by depreciation of dry docking of eight vessels performed in 2020 and depreciation of scrubber installation of the six vessels. And just a reminder in accordance with IFRS accounting dry-docking expense is capitalized and depreciated over five years and scrubber installation is also capitalized, but depreciated over the lifetime of the vessel. Finance expense is down for both the quarter and the year due to a lower average debt and interest expense combined with capitalized borrowing costs relating to our newbuilding program. Finance income, consists primarily of dividend distribution from The Norwegian Shipowner War Risk Insurance Association of $1.3 million after tax. And with that, we recorded a net profit of $7.5 million, or $0.10 per share for the quarter, compared to $4.2 million, or earnings per share of $0.06 the previous quarter. For the full year 2021, we recorded a net profit of $32.1 million compared to $37 [ph] million in previous year adjusted for a reversal of impairment recognized in 2020. And just a few remarks on the balance sheet movements. As Kristian already stated in December, we successfully executed the refinancing of the VLGC Iris Glory by way as a sale leaseback structure with a repurchase option in favor of Avance after year two and with a tenure of nine-year and no repurchase obligation, while we released a cash of $16.6 million. We recorded an equity ratio of 56% year-end, up 6% from last year and a cash balance of $101.9 million, representing an increase of $25.2 million during the year. And I will now go briefly through the cash activities during the year on the next slide. So cash movements year-to-date is primarily driven by positive cash flow from operations of $91.2 million, equity raise of $64 million secured funding of the newbuilding program assuming a non-life financing structure at delivery, cash release of refinancing of the VLGC Iris Glory and offset by newbuilding capital expenditure of $60.2 million ordinary scheduled debt repayment of $44 million, interest payment of $17.6 million, and lastly, prepaid expenses of $2.6 million relating to the pre-funding of OpEx and pre-delivery cost of our new buildings. And lastly, we paid $23 million to our shareholding -- shareholders leaving us with a cash position of $101.9 million at year-end. And just a few comments on the capital expenditure relating to our newbuilding program. As of the date of this report, we have paid $157 million in accumulated newbuilding CapEx since 2019. And of the $157 million, $105 million is sourced from cash flow from operations, corresponding to 55% of pre-delivery CapEx and $52 million sourced from bank financing, reflecting drawdown of the debt and delivery of Avance Polaris in early January. We have secured a sustainability-linked financing of the two first newbuildings Avance Polaris and Capella announced last year. And assuming the same financing for the remaining newbuilds, we have approximately $55 million in newbuilding CapEx to be sourced by cash and cash flow from operations until delivery of final -- the final newbuilding in 2023. And moving to slide 8. We have an estimated cash breakeven of $22,500 for the year 2022, representing administrative and general personnel and office space expenses of $1,200 a day. Operating expenses of $7,900 per ship day, excluding any COVID-19 expenses, which is expected to come down from 2021 levels as the majority of our crew has now been fully vaccinated. And furthermore, we have a repayment of debt of $9,400 a day and interest expense of $4,000 a day. Looking into the first quarter this year, we estimate the TCE rate of approximately $40,000 per day, contracted for 80% of vessel days. The guiding includes our current TC coverage of 38% for the first quarter consisting of the three time charter agreements for our 2008-built vessels for a period of two years at an average rate of $30,000 a day previously announced. And furthermore, we have three vessels with a floating hire structure, consisting of the two-time charter agreements for our newbuilds Avance Polaris and Capella for a period of two years. And lastly, we have one-time charter agreement for 12 months of the floating hire. In current market sentiment, with the freight rates ranging between mid-20s depending on the load area, we are clearly benefiting from the time charter coverage with a fixed rate. And furthermore, we are offloading waiting risk on all this account on our TC agreements with the floating structure as the Panama Canal congestion continues. And I will now hand the word over to you Kristian, who will talk more about the market. And thank you, and please go ahead, Kristian.
Kristian Sørensen: Okay. Thank you, Randi. So, let's have a look at the VLGC market for the quarter. Next slide please. The LPG market in the fourth quarter was pretty much as expected. The winter market in the Northern Hemisphere led to solid exports from the US to Asia. In addition, the energy crisis shows driving energy prices up and landed LPG prices in Asia followed by crude oil price upwards while we at the same time sold twice as many VLGC cargoes going transatlantic compared to the previous quarter. All in all, US exports were up six cargoes per month from same quarter 2020, which demonstrates the strength of the US LPG export capacity. The Middle East exports were steady throughout the quarter, but are still lagging from the volumes from 2020. We expect a gradual increase as OPEC reversed its CapEx on crude oil production. And from a trade pattern point of view, it is interesting to see that India is now importing close to 50% of the exports from the Middle East, excluding the Iranian LPG volumes which in next turn is giving room to US exports to find its home in other parts of Asia. Next slide please. The end of the fourth quarter was busy and rates doubled and reached close to $60,000 per day for scrubber-fitted vessels. The congestion around the Panama Canal was taking up considerable capacity in itself and also leading to more vessels ballasting the longer route from Asia via Suez or South Africa to US Gulf. Like mentioned in the slide, the longer route represents a 10 to 13 longer ballast than going to Pacific routes via Panama without delays and helped to push rates up during the last part of the quarter. On top of the inefficiency and uncertainty around the Panama Canal there was also delays in several major discharge areas in Asia due to COVID, bad weather and general congestion. Next slide please. The Asian LPG story is a good story in itself. Indian imports continue to climb as a government driven program to burn LPG for residential use continues. According to Argus, 10 million low-income homes were added to the program during last fiscal year and another six million homes will be included this year. In addition, VLGCs are now lifting the lion's share of the LPG imports close to 80% in 2021. Looking towards 2025, Chinese imports are expected to grow significantly driven by its vast petchem sector. Last year around one-third of the Chinese LPG imports were sourced from the US and consequently underpinning the long-haul US Far East trade happen. On top of the two main importers India and China, the LPG market is gradually growing in developing economies in Southeast Asia as well as more mature economies like Korea. Next slide please. Looking at the US LPG exports, the expectations are more positive than what you would expect six months ago. There are signs of increased drilling activity on the back of the current high energy prices. And the Asian demand side has proven to be relatively priced inelastic. Although every new project needs time to ramp up the production volumes, we could pay 60 million tons of LPG exported from the states this year and we also expect additional volumes to be added next year. Next slide please. We wanted to show you this slide describing the VLGC secondhand market. As Avance Gas continue to sell all the vessels and following the sale of the Avance in 2020, we decided to sell the 2008 built Thetis Glory beginning of this year as part of our fleet renewal program and also the profit from solid secondhand prices. The VLGC secondhand market is characterized more as a project driven market than a conventional SnP market that you would see in tankers, bulkers and containers. The last year is relatively busy. Secondhand market is very much a reflection of increased demand for LPG in India, Southeast Asia as well as China. What is worthwhile noticing is that most vessels, which are sold into Southeast Asia are going into captive trade, shuttling and storage operations and are subsequently taken out of the conventional VLGC trade. The price level for these vintage vessels is holding up firm and following the sale of our Thetis Glory, we are receiving buying interest also on other vessels, which we are evaluating. Next slide please. Moving on to the next slide on the VLGC order book. In general there is very little news from last quarter. Newbuilding activity is muted as inflated newbuilding prices are very hard to justify. Including our Avance Capella, we count 16 more vessels to be delivered from the order this year. Next year looks more challenging with 47 newbuildings delivered, but the picture is not as grim as you should think barely by looking at the newbuilding list. There are considerable forces extracting capacity from the fleet with increased seaborne trade, Panama Canal transit delays, more ships sailing the long route from Asia to the US Gulf, new emission regulations coming into force, favoring younger tonnage as well as vintage vessels disappearing from the trade into captive trade in Southeast Asia. However, in order to protect the downside, we have increased our time charter ratio, although with a mixed bag of time charter hire searchers to maintain exposure to the market as previously described. Next slide please. So to summarize the fourth quarter as well as the year of 2021, we reported TCE per day of $27,631 for the quarter and $31,302 per day for the calendar year. We are happy to also this quarter declared a dividend payout to our shareholders corresponding to 50% of net profit. And in total, our Board has declared $19.8 million in dividend for the financial year of 2021. Looking at the market, we continue to see inefficiencies taking out capacity from the fleet at the same time as seaborne LPG trade continues to increase. And as part of our strategy to capitalize on the firm asset prices and to release cash, we executed a sale leaseback transaction on the Irish Glory in December, which generated a cash release of $16.6 million, which together with a sustainability-linked bank loan added $145 million of new debt financing, while we raised $65 million in equity to finance our newbuilding program. Reflecting the firm winter market, we are pleased to guide on a TCE per day of $40,000 fixed for 80% of the vessel days for the first quarter and we maintain our positive outlook for 2022, with robust market fundamentals, which will favor our newbuildings, which we now are taking delivery of. And on that note, I would like to open up for questions.
Operator: Thank you. [Operator Instructions] We have a question on the phone line. This is from the line of Climent Molins from Value Investor's Edge. Please go ahead. Your line is open.
Climent Molins: Good morning. Thank you for taking my questions. You have picked several of your newbuilds in time charter contracts with floating hire. And could you provide some further commentary on how are these charters structured, namely if they are for example 100% index-linked or if they have a floor or a cap?
Kristian Sørensen: Thank you for your question. Since these contracts are made on a confidential and private basis, we can't reveal too much of the details. But it's giving us good exposure to the market fluctuations, as well as it's giving us -- providing us with downside protection. So it's difficult for us to go into details since these contracts are made on a private basis.
Climent Molins: All right. I understand. And when talking about the secondhand market, you mentioned that older vessels sold to Asian buyers disappear from the conventional VLGC market. Could you provide some further commentary on this? How many vessels do you estimate to be trading in these niche markets?
Kristian Sørensen: Well, if you go back to the slide Randi, that we -- yes that's one. You can see that vessels going into the India trade, they continue to service the Indian markets on a time-charter basis, competing let's say with the rest of the global fleet. The vessels sold to China and Southeast Asia are going into typical captive trade where they are going – being used as floating storage, terminals, shuttle tankers. And also I think it's fair to say that parts of the fleet, which is controlled by Chinese interest is also lifting cargoes from Iran.
Climent Molins: All right. That's helpful. And final question for me. After the recent divestment of the Thetis Glory, I was wondering how are you looking at the remaining 2008 and 2009-built vessels? And on a similar note, should we expect an effect of upcoming regulations on these vessels?
Kristian Sørensen: Yes there is – I mean like I mentioned, we are receiving good interest – buying interest also for other parts of our older fleet after the sale of the Thetis Glory and we are evaluating the various interests as we speak. And of course, if manage to obtain a good price on these kind of vessels, we are likely to offload more vessels as we move forward. When it comes to the new regulations, the vessels built from 2000 or let's say, the part of our fleet which is built from 2015 and younger is not going to be affected by new regulations in terms of having to reduce speed. We expect that the vessels which are built in 2008 and 2009 will have to reduce the speed but we don't know exactly yet. There is an IMO meeting in June, which will most likely shed more light on the exclusion list and the details in this new framework. But we expect this vessel class to reduce service speed as we move into 2023. I don't know Randi would you like to say some more words on the – add some details on the regulations?
Randi Navdal Bekkelund: Yes. As Kristian mentioned, we do expect that the new regulations will somehow impact the VLGC fleet and the strategy we're heading for and has been delivering upon since the acquisition of the first newbuilds in Q4 2019 is to have a fleet renewal to partly reduce the emission and have a more economic fleet composition, generating value back to our shareholders. So we think in ones that where well positioned towards the new regulations with the fleet renewal in terms of the EEXI's certification, it's well taken care of. And we see that the EEXI regulation is basically a stamp. But the CII, the Carbon Indicator Regulations with ratings will definitely show that the older part of the VLGC fleets, will have to most likely reduce the speed with one to two knots to comply with the minimum C rating. 
Climent Molins: All right. That’s very helpful. Thank you very much for taking my questions.
Kristian Sørensen: Our pleasure.
Randi Navdal Bekkelund: Thank you for your questions.
Operator: Thank you [Operator Instructions] No further questions coming through the phone lines, at the moment. 
Randi Navdal Bekkelund: We have one question coming in from the webcast from Tommy. And the question is dividend policy going forward, as the newbuilds will increase profitability. I can start off with responding to that question, which is quite relevant, I would say. But just looking back the past year, one of our key focus has been to return value back to our shareholders by distributing dividends and we're very happy to announce dividend for the fifth quarter in a row. And going forward into this year, we are expecting positive fundamentals. We have seen it coming into the first quarter, with the TCE rate earnings of $40,000 a day contracted for 80% of our vessel days. And we will continue returning value back to our shareholders while keeping in mind that towards the order book in 2023, we need to position ourselves to handle the bad potential weather coming into next year. So we will balance the dividends with strengthening the balance sheet of the company towards '23 and going forward and also ensuring that we have a healthy cash position in the company. Yes. Okay. No further questions from the webcast currently. 
Operator: No questions at the phone lines at the moment. 
Randi Navdal Bekkelund: Okay. Thank you. I believe that concludes the call. And thank you for dialing in and we wish you still a nice day and a nice winter holiday break. 
Kristian Sørensen: Goodbye. 
Operator: Thank you. That does conclude the conference for today. Thank you for participating and you may now disconnect.